Operator: Good afternoon and welcome to A-Mark Precious Metals Conference Call for the Fiscal First Quarter ended September 30, 2021. My name is Cherise [ph] and I will be your operator this afternoon. Before this call, A-Mark issued it's results for the fiscal first quarter 2022 in a press release which is available in the Investor Relations section of the company's website at www.amark.com. You can find the link to the Investor Relations section at the top of the home page. Joining us for today's call are A-Mark's CEO, Greg Roberts; President, Thor Gjerdrum; and CFO, Kathleen Simpson-Taylor. Following their remarks, we will open the call to your questions. Then, before we conclude the call, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of A-Mark's website. Now, I would like to turn the call over to A-Mark's CEO, Mr. Greg Roberts.
Gregory Roberts: Thank you, Cherise and good afternoon, everyone. Thank you again for joining our call today. As you can see from our earnings release, Q1 marked another solid quarter as A-Mark delivered $26 million of net income and diluted EPS of $2.17. We also generated $41.1 million in adjusted pretax income and return on equity of over 7%. Our gross margins remained strong at 2.78%, notably better than last year's comparable quarter of 1.94% as more of our business is now weighted towards our higher-margin direct-to-consumer, or our DTC segment which continues to be a strong contributor for us. Within our DTC segment, JM Bullion continues to deliver solid results and has integrated seamlessly into our broader organization, in fact accounting for approximately 44% of A-Mark's gross profit in the quarter. Macro conditions continue to be very supportive of our business, characterized by demand from both retail and wholesale customers, coupled with ongoing supply constraints that provide opportunities for us since we have more reliable access to supply. It's worth noting that the precious metals industry experienced slightly subdued conditions at the beginning of our first fiscal quarter. However, as the quarter progressed, conditions improved. Overall, these market conditions continue to validate our strategy of having a fully-integrated platform that can provide reliable access to a wide variety of supply while reaching a diversified base of wholesale and retail customers with products and value-added services. We continue to be focused on improving and optimizing performance through initiatives such as innovative product offerings to our customers and developing marketing enhancements to reduce customer acquisition costs and reach new target audience within our DTC. JMB's recent offerings included a very successful product offering celebrating it's 10th anniversary. Now, I'm going to turn over to our CFO, Kathleen Simpson-Taylor, to walk you through our financials in more detail. Then our President, Thor Gjerdrum, will discuss our KPIs and operational metrics. Afterwards, I'll provide a further update on our business and growth strategy and take your questions. Kathleen?
Kathleen Simpson-Taylor: Thank you, Greg and good afternoon, everyone. Our revenues for fiscal Q1 2022 increased 8% to $2.01 billion from $1.87 billion in Q1 of last year. The increase in revenues was due to an increase in silver ounces sold at higher selling prices, partially offset by lower gold ounces sold at lower selling prices. JM Bullion contributed $472.3 million of revenue to the quarter. Gross profit for fiscal Q1 2022 increased 55% to $56 million, or 2.78% of revenue from $36.1 million, or 1.94% of revenue in Q1 of last year. The gross profit increase was due to higher gross profits earned from our DTC segment, including $24.7 million contributed by JMB. SG&A expenses for fiscal Q1 2022 increased 76% to $16.7 million from $9.5 million in Q1 of last year. The increase was primarily due to $6 million of expenses incurred by JMB, $0.7 million of consulting and professional fees, higher insurance costs of $0.4 million and increased compensation expense, including performance-based accruals of $0.2 million. Depreciation and amortization expense for fiscal Q1 2022 increased 1,551% to $8.3 million from $0.5 million in Q1 of last year. The increase was primarily due to $7.7 million of amortization of the acquired intangibles related to JMB. Interest income for fiscal Q1 2022 increased 39% to $5.5 million from $4 million in Q1 of last year. The aggregate increase was primarily due to higher interest income earned by our Secured Lending segment and higher other finance product income. Interest expense for fiscal Q1 2022 increased 28% to $5.5 million from $4.3 million in Q1 of last fiscal year. The increase in interest expense was primarily driven by $0.7 million related to product financing arrangements, $0.4 million associated with our trading credit facility and notes payable and $0.2 million of loan servicing fees, offset by a $0.2 million decrease in interest and fees associated with liabilities on borrowed metals. Earnings from equity method investments for fiscal Q1 2022 decreased 64% to $1.5 million from $4.1 million in Q1 of last year. The decrease was due to a $3.7 million reduction in equity method income from JMB as it is now a wholly owned subsidiary. This was offset by increased earnings of $1 million from the company's other equity method investments. Net income attributable to the company for the first fiscal quarter of 2022 totaled $26 million, or $2.17 per diluted share. This compares to net income attributable to the company of $23.1 million, or $3.09 per diluted share in Q1 of last year. Our diluted EPS for the fiscal first quarter of 2022 is based on the weighted average shares outstanding of 12 million compared with 7.5 million weighted average shares outstanding during the first quarter of last year. Adjusted net income before provision for income taxes, a non-GAAP measure which excludes acquisition expenses, amortization and depreciation for Q1 fiscal 2022, totaled $41.1 million, an improvement of $10.4 million compared to $30.7 million for Q1 fiscal 2021. Now, turning to our balance sheet. At quarter-end, we had $29.6 million of cash compared to $101.4 million at the end of our fiscal year 2021. Our fiscal year 2021 cash balances were higher due to our planned precious metals purchases in early July. Our tangible net worth at the end of the quarter was $184.9 million, up from $169.4 million at the end of our fiscal year. That completes my financial summary. Now I will turn the call over to Thor, who will provide an update on our key performance metrics. Thor?
Thor Gjerdrum: Thank you, Kathleen. Looking at our key operational metrics for the fiscal first quarter of 2022; we sold 669,000 ounces of gold in fiscal Q1 2022 which was down 7% from Q1 last year and down 13% from the prior quarter. We sold 28.1 million ounces of silver in fiscal Q1 2022 which was up 16% from Q1 of last year but down 21% from last quarter. Wholesale trade and ticket volume, our second key metric which represents the total number of product orders processed by our trading desk, decreased 26% from Q1 of last year and decreased 22% in the fourth quarter of fiscal 2021. Our third key metric is inventory turnover which is a measure of how quickly inventory has moved during the period. For the first quarter, our inventory turnover ratio was 3.8 which was a 24% decrease from 5.0 in Q1 of last year and a 7% decrease from 4.1 in the prior quarter. Finally, the number of secured loans at the end of September totaled 2,074, an increase of 10% from the end of June and an increase of 84% from September 30, 2020. The dollar value of our loan portfolio at the end of September totaled $110.3 million which is down 2% from the end of June and up 31% from September 30, 2020. Typically, the number of loans increase during periods of rising precious metals prices and decrease during those periods of declining precious metals prices. That concludes my prepared remarks. I'll now turn it over to Greg for closing remarks. Greg?
Gregory Roberts: Thanks, Thor. We continue to execute on our strategy of scaling a fully-integrated and diversified precious metals company and remain optimistic about the outlook for A-Mark. Our direct-to-consumer and wholesale segments continue to experience strong demand which is driving healthy margins and profitability. Additionally, we continue to evaluate opportunistic investments and initiatives predominantly focused within DTC that can further expand and diversify our customer base in an accretive manner for our shareholders. Among other projects, we are focusing on a new digitally-native precious metals strategy called Cyber Metals and expect to provide the market with a more comprehensive update in the third fiscal quarter of '22. Our DTC and wholesale segments benefit greatly from their access to our supply chain, including through our wholly-owned subsidiary, SilverTowne Min and our minority-owned Sunshine Mint. The mints are performing strongly and our capital investments have driven higher utilization which has resulted in production levels at the SilverTowne Mint as high as 780,000 ounces of silver per week. We continue to evaluate additional investments to expand capacity and reduce operating costs in our minting operations. Looking ahead, we continue to see positive macro tailwinds persisting, including precious metals supply constraints and elevated demand for precious metals products in both the retail and wholesale segments. We remain extremely confident that our platform and proven business model has been structured to generate profit in stable periods and opportunities for outsized returns in periods of volatility, driving strong returns over the long-term. Operator?
Operator: Thank you, sir. [Operator Instructions] Now our first question will come from Thomas Forte with D.A. Davidson. Please proceed.
Thomas Forte: Great, thanks for taking my questions. And Greg and team [ph], congrats on the quarter. All right, so I'll go one question at a time, Greg. Can you give us your updated thoughts on international e-commerce expansion?
Gregory Roberts: Sure. We have two or three potential opportunities we're looking at. I think we are pretty close on one of them and I think the other two we're still feeling our way through the opportunity. I will say that we have made some progress on one in particular that we are placing a consignment of metal near their location and we are starting to do some increased wholesale business with them as we evaluate their business. The other opportunity we're a little bit closer on and I feel pretty confident that there's a small opportunity there. It's not a big company but it's an e-commerce business that looks and feels like the early days of JM Bullion. So, I think there is some opportunity there. Michael and his team are leading that drive and feel pretty good about the potential for us with that opportunity but it's probably still a couple of months away.
Thomas Forte: And then, I wanted to get your current thoughts on the macro environment from an inflationary standpoint and to what extent that may be contributing to the strong demand at the wholesale and retail level.
Gregory Roberts: I mean, the macro environment right now, today on November 4, seems to be pretty strong as we've seen it in a while. There certainly is a lot of chatter about inflation and the supply constraint issues all around the world. It's what we've been dealing with for 18-19 months now. So I think that it's in the news and you're hearing about why these boats can't be unloaded, why these containers can't be unloaded, how do you move stuff around the country or around the world. These are challenges that we've been managing since the pandemic hit 17-19 months ago. So, I think these are all things that are driving concern and a little bit of anxiety out there in the world. And I think it's translating into demand and strength in our markets. I will say that, at the consumer level in our direct-to-consumer segments, we have seen an increase in activity and demand starting with Goldline about six-seven weeks ago and JM also started to increase their activity. And the environment right now seems very good for our business.
Thomas Forte: I think when you were in the process of acquiring JM Bullion, you talked about the opportunity to extend your secured loan effort to that customer base. Can you talk about where you are? Is that something you're still considering?
Gregory Roberts: Absolutely. We've been testing it. I can say that, if you go to the JM Bullion website, if you are in the test group, you get the opportunity to link to CFC. And through that link, you can get information on using your precious metals as an asset and collateral to borrow money against that collateral. We have been, I think, pleasantly surprised that, in the test group that we've been testing with, we've probably, I'd say, written a number of loans. Operations-wise, we've been able to help the customer move the collateral to our Las Vegas facility where it is held. And I think we're feeling very good that the processes are working and that the test is working. At the checkout, you can also click a storage option which allows you to keep your metal in storage in one of our depositories. So that is a test that we're also doing in conjunction with the collateralized loan business. And at this point going very smoothly and I think there's a lot of potential there for us as we were hoping back in March on the roadshow.
Thomas Forte: Great, thanks. And congrats on the quarter again, Greg.
Gregory Roberts: Thanks, Tom.
Operator: The next question comes from Andrew Scutt with ROTH Capital Partners. Please go ahead.
Andrew Scutt: Good afternoon and thank you for taking my questions. So my first question, Greg, has to go back to your prepared remarks, you talked about some marketing enhancements. You guys were taking to kind of decrease the acquisition costs for your direct-to-consumer customers. So, can you just provide some additional color on those initiatives?
Gregory Roberts: I think that the macro tailwinds that we're experiencing are encouraging and they're causing us to look at some other opportunities as it relates to customer acquisition. I think that we've experimented and done a number of tests with our online marketing, both at Goldline and at JM Bullion and I think we've seen some initial success from just looking at some other ways to attract customers and bring customers in. And I think that the data and the information that we're acquiring through those tests is going to drive us towards the things that are working and the things that are causing us to have a lower cost of acquisition. I think, in particular, the last three to four weeks, whenever we see macro activity and a good environment, we tend to have a lot more activity around the precious metal space which just allows us to acquire new users. And generally, with the same spend, we get more users. So I think being positioned, what we've been working on in the last four to five months to be in position when you get an increased level of activity and search going on around our products or our services, it's naturally going to drop our user or client acquisition cost down. And I think we're seeing an environment right now that is allowing us to capture a number of new customers, a little bit higher than probably what we had forecast.
Andrew Scutt: And my second question here is to deal with your ability to leverage your mints, especially in the silver supply shortage. Can you kind of speak to how your ability to create custom and unique SKUs from your mints to some of your customers in a short time period where some of your competitors are waiting on silver, how that may benefit you guys in the holiday season and just over the next couple of quarters?
Gregory Roberts: Yes. We probably have 20 products we're working on right now for JM Bullion, two products we're working on for Goldline that are being minted at SilverTowne. I think, if you were to go to the JM Bullion website, we created a number of new products, as I said earlier, for the 10th anniversary of JM Bullion, what I would consider personally a hugely successful program. The ounces sold was way ahead of what I thought they would be and those products were created at SilverTowne Mint. I think we started the concept stage of that product and those products may be six weeks before we started selling them. And just seamlessly, the process we now have in place, bringing together both Sunshine and SilverTowne, getting the concept, the artwork, the creative side of the products going is right now moving faster than I've seen it before. I mean, we really are able to take a concept and get it to market within three to four weeks which is very beneficial for us to be nimble and quick in attacking areas where the market is demanding something and we can address that demand very quickly.
Andrew Scutt: Hey, thanks for the color. And congrats on another quarter with strong profitability.
Operator: [Operator Instructions] The next question comes from Mitch Almy with Wedbush Securities. Please go ahead.
Mitch Almy: Great quarter, Greg. Nice work.
Gregory Roberts: Thank you. Thanks, Mitch.
Mitch Almy: I have a couple questions. The press release mentions sort of subdued beginning of the quarter which I guess it got better throughout the quarter. If you could walk through maybe sort of the month-to-month progression and what we might conclude from that; that would be great.
Gregory Roberts: We talked a little bit about this on the last call. June which was our last month in our Q4, was extremely active. A lot of that had to do with the launch of the Type 2 2021 Silver Eagle and there was a lot of presale going on in June for that launch which happened in July. And I think that we really hit a home run on that back in June. And I think what happened was a combination of just kind of the release of those Type 2 Silver Eagles in July and just kind of absorbing all that business that got done in June. So I think, in general, July was what I felt like was a little bit of just catch your breath and a little bit of a breather. And then I think, for whatever reason, July and the holidays and everything just felt to me like July was a little bit slower. And it really did kind of continue on into August. I'd say that August was better than July and September within this quarter was better than both July and August together. And I think that what we're seeing right now in October is much more like what we were seeing in September than what we were seeing in July. So I think that, as we saw last year in our Q2 where we just had a little bit of a breather, we kind of felt that, as I said, in July and August but certainly in the last four to six weeks. And obviously, this quarter, we're just getting into it and we don't even have really all the information for October yet. But certainly, the environment and everything we're feeling is feeling more like what we saw in September at the end of this quarter. So we're very optimistic about that.
Mitch Almy: One more question. You've mentioned your digital gold Cyber Metal products a couple of times. And I've been on the JM Bullion website. I haven't seen a thing. So if you could explain a little bit more about what that is, where we'll see it and sort of conceptually what market it's aimed at, I'd be appreciative.
Gregory Roberts: Yes. So we've talked about this all the way back on the road show. We've talked about it every quarter. JM Bullion has been in the process of developing what we've called is a digitally native product. I can say now that the name of the product and the logos and the branding is all finished. We're calling it Cyber Metals. I was in Dallas with the programmers and the management of JM last week and they ran me through the test of the site. The site internally is up and running right now. The mobile app is nearly finished. But in that meeting, I was able to really see for the first time what this is all about and what it's going to do for A-Mark and JM and all of our direct-to-consumer segments is really very exciting. From a timeline standpoint, I anticipate we'll be in beta testing in December. We'll have a group of people that are actually trading on the platform and conducting business, a controlled group with the hope that, by early Q3 for us, January-February, that we'll be able to start to roll this out again to a broader actual customer base. But what I saw is very exciting. It's very similar to a mobile app for a Schwab account or a TD account or an E-Trade account. It's going to allow mobile users the ability to buy fractions of a bar, or fractions of silver or gold in any quantity that they like in gold, a fraction of an ounce in silver, a single ounce and be able to deposit money in their account and basically trade knowing that the physical metal is going to be backed up in one of our depository facilities where you'll be able to see it and know that it's there, secure in it's own cage, segregated. And it's just a very exciting concept to me. I really believe it's going to allow us to put a marketing effort in that will allow us to go after a very broad new customer base with the idea that the ETF-type customer, or the customer that may buy mining stocks, will be able to use this product to really have direct access to precious metal exposure. We'll be offering gold, silver, platinum, palladium and I think that you'll be able to trade within the metals. You'll be able to build a position. You'll be able to get on an accumulation program, where you can have an auto-invest once or twice a month where it basically debits your account and adds to your precious metals position. We believe that, down the road, we'll be able to add foreign currencies that you'll be able to use to trade. And it's just a very exciting product that we've been working on really diligently for the last nine months. And then, I'd say we're in the red zone right now. We're getting close to the goal line; so it's very exciting.
Mitch Almy: Is there anything like that out there currently?
Gregory Roberts: I do believe that Apmex, one of our competitors, has a product they call One Gold which is available and it is a similar product and platform. But what I saw on Friday last week was just very exciting. I have never seen anything like it.
Mitch Almy: That's great. And again, congratulations on the quarter. Thanks for answering the questions.
Gregory Roberts: Thanks, Mitch.
Operator: [Operator Instructions] The next question comes from Jacobs [ph] with JAM.
Unidentified Analyst: Hi, how are you?
Gregory Roberts: Great. How are you doing?
Unidentified Analyst: Doing well. Just wanted to ask real quick on JMB, I was curious. So it looks like gross profit was down sequentially quarter-over-quarter. I just wanted to see if I'm interpreting that right and if there's any seasonality to be aware of, or what drove that.
Gregory Roberts: Yes. I would say it goes back to kind of the comments I made a few minutes ago. JM Bullion really hit it out of the park on their presales on these Type 2 Silver Eagles back in June. So I think that I was completely expecting that we would see this little bit of catch-your-breath. I think the customers were really anticipating this product. I believe we probably sold more of these Type 2 Silver Eagles than anybody. And they were a big driver on our margins in the previous quarter just because the premiums were so high. We also had a very good opportunity on the Type 1 Silver Eagles that went out of stock and out of production in May and June last quarter. And that product was -- it turned out, as we ran to the end of that program was a very high-margin product that sold towards the end right before the launch of the Type 2. So that really drove performance in June at the JM level. And I think we really hit that product very hard and margins on that product were very good in our Q4 of last fiscal year. So, I think it just has a lot to do with just the breather period we saw in July and the early part of August. So I guess you could call that seasonal, or you could call it a little bit cyclical. But I feel like we're now well into that and now we're back into these Silver Eagles for 2022 are going out of production in the next couple of weeks. I think we're very well-positioned to continue to fill demand in that product through the end of the year. And then, in January, we're going to have the new 2021 coins. So I think it's all kind of part of the process. But we're definitely seeing -- this quarter, we're seeing a lack of supply of Silver Eagles again as we wind down and they're ceasing production on the existing current run and that's driving demand for all of our other products. So it's a cyclical thing. It's a process and a cycle that we really like and seems to be very good right now.
Unidentified Analyst: And I really appreciate the color. And then just wondering, on the wholesale side, it looked like you guys sold a similar amount of gold this quarter versus last quarter in ounces. Silver was down a bit. Was there anything that impacted the profitability on the silver side in the quarter for this quarter versus last?
Gregory Roberts: Yes. I mean, again, it's all part of the same. Remember that the gold also switched to a Type 2 product on July 4 or July 5. And again, there was a lot of pre-selling going on in June. And I think that the silver was really where you probably saw it the most in that most of the silver demand for Silver Eagles really took place back in June. And so, I think that the mint does this all the time. They build up a position or an inventory of product. We have a very good idea of what they can make every week and every month and then they kind of build up to the launch of a product and specifically this Type 2 launch in July, they built up an inventory. And then, for quite a while in July, there was just no new product. There was not a lot of new coins because everything was pretty much delivered in that first week of July. And we had, for the most part, presold most of that in June and captured a lot of that. So I think, from the ounces sold, I think the numbers are still very healthy. I think they're very good. And I think the premiums on product, as you could see if you go to JM Bullion or you go to anywhere, the premiums are still very healthy and demand right now, like I said, in particular over the last three to four weeks, has really outpaced supply.
Unidentified Analyst: Really appreciate that. And then just lastly, I think you guys reported an adjusted EPS number last quarter but it wasn't in the release this quarter. So I just wanted to get a sense for is that the number that we should be going off of just the adjusted net income?
Gregory Roberts: Well, I think yes. I mean, I think that's a very good point and a good question you make. I mean, if you look in our press release, we do reference this adjusted net income and this is the number we really look at because it's the number after you add back the JM amortization that we're getting hit with right now. So $41.1 million is in our release. It's about $3.35 a share. And I think that from our perspective, on a cash flow and actual profit basis, that's an important number. We're continuing to look at ways that we can message to investors that number and be a little bit clearer on that number. So I do think, looking forward, you're going to see some more specific information on that number and we plan on using it just because, historically, A-Mark really didn't have much amortization. So EBITDA, or adjusted EBT or whatever you want to call it, I think wasn't as significant of a number. But clearly, from this quarter, as you can see, you're really seeing a difference between $26 million and $41 million, and I think that's an important number for everybody to be focused on.
Unidentified Analyst: Got you. Thanks so much. I really appreciate it. Also, I think the operator got my name wrong; it's Ronnie Sanon [ph] also with Jacobs. We thank you, you've done a great job.
Gregory Roberts: I knew you weren't, Sy [ph]. I thought you Sy [ph], but I knew it wasn't Sy [ph].
Unidentified Analyst: Yes. Well, I appreciate the time and thank you for answering my questions.
Gregory Roberts: Sure, my pleasure. Thanks for joining the call.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Roberts for his closing remarks.
Gregory Roberts: I'd like to thank all of our shareholders for joining today. We continue to get a high number of investors and interested parties on these calls, higher than we've ever seen before. So thanks, everybody, for joining and making these calls interesting and enjoyable. Thank you for all of your interest, your continued support. Many thanks to our employees for their dedication and commitment to A-Mark's success. And we look forward to keeping you updated and apprised on A-Mark's progress, going forward. Have a great day and thank you very much.
Operator: Before we conclude today's call, I would like to provide A-Mark's Safe Harbor statement that includes important cautions regarding forward-looking statements made during this call. During today's call, there were forward-looking statements made regarding future events. Statements that relate to future plans, objectives, expectations, performance, events and the like are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the Securities Exchange Act of 1934. These include statements regarding future macroeconomic conditions and demand for precious metal products and the company's ability to effectively respond to changing economic conditions. Future events, risks and uncertainties, individually or in the aggregate, could cause actual results or circumstances to differ materially from those expressed or implied in these statements. Factors that could cause actual results to differ include the following: the failure to execute the company's growth strategy as planned; greater-than-anticipated costs incurred to execute the strategy; changes in the current international political climate which has favorably contributed to demand and volatility in the precious metals markets; increased competition for the company's higher-margin services which could depress pricing; the failure of the company's business model to respond to changes in the market environment as anticipated; general risks of doing business in the commodity markets, the effects of the covet pandemic and the eventual return to normalized business and economic conditions; and the strategic business, economic, financial, political and governmental risks described in the company's public filings with the Securities and Exchange Commission. The words should, believe, estimate, expect, intend, anticipate, foresee, plan and similar expressions and variations thereof identify certain of such forward-looking statements which speak only as of the dates on which they were made. Additionally, any statements related to future improved performance and estimates of revenues and earnings per share are forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statements. Readers are cautioned not to place undue reliance on these forward-looking statements and are encouraged to review the company's financial information in it's entirety and not to rely on any single financial measure. Finally, I would like to remind everyone that a recording of today's call will be available for replay via a link in the Investors section of the company's website. Thank you for joining us today for A-Mark's earnings call. You may now disconnect.